Operator: Good day. Thank you for standing by, and welcome to the Planet Fitness, Inc. Second Quarter 2021 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Ms. Stacey Caravella. The floor is yours.
Stacey Caravella: Thank you, operator, and good afternoon, everyone. Speaking on today's call will be Planet Fitness' Chief Executive Officer, Chris Rondeau; and Chief Financial Officer, Tom Fitzgerald. We also have Dorvin Lively, President of Planet Fitness on the line, who will be available for questions during the Q&A session following the prepared remarks. Today's call is being webcast live and recorded for replay.  Before I turn the call over to Chris, I would like to remind everyone that the language on forward-looking statements included in our earnings release also applies to our comments made during this call. Our release can be found on our website, investor.planetfitness.com, along with any reconciliation of non-GAAP financial measures mentioned on the call with their corresponding GAAP measures.  Now I will turn the call over to Chris.
Christopher Rondeau: Thank you, Stacey, and thank you, everyone, for joining us today for Planet Fitness' Q2 Earnings Call. It's a testament to the strength of our brand that more than 13 million people remain committed members of Planet Fitness in the depth of a global pandemic when most of our gyms were temporarily closed. Our membership momentum continues to defy our historical seasonal patterns. And through July, we had more than 15 million members. We have regained approximately 75% of the members we lost from our peak in Q1 2020 to our low in Q4 2020. I have never seen this type of unseasonable membership growth in my nearly 30 years at Planet. And some of our larger franchisees, who have been with us for a good portion of that time, are also amazed at the positive trends that they're seeing across their portfolios.  And today, with nearly all our stores reopened, existing members are reengaging with us and new members are joining at unprecedented rates, as they all realize the importance of fitness to their overall wellness. We're in the business of helping people feel better and get healthy, and that's what they're seeking right now. A community-based support system in a judgment-free environment, combined with an incredible membership value proposition.  COVID hit the U.S. hard. The country came into the pandemic with more than 70% of adults over the age of 20 considered overweight or obese. One of the top risk factors for severe illness with COVID. In fact, life expectancy in America fell by 1.5 years in 2020 due to the pandemic and other residual impacts, the largest single-year decline since World War II.  A Kaiser health study showed that people who regularly exercise had the best chance of beating COVID while people who were inactive did much worse. And most importantly, physical activity makes people feel better, not only physically but also mentally. We believe the unseasonal momentum in our membership gains is fueled by people recognizing the importance of self-care. Our messaging to consumers is about taking the first step of getting off the couch and getting into a fitness routine.  Our national May sale of 1 month free and no commitment removed all the barriers to doing so. As a result, total net member growth in May was 3x our growth in May 2019. In June, we ran a Black Card flash sale. And for the month, net member growth was nearly 20x what we saw in June 2019, during which we ran a similar offer.  For the quarter, net member growth in Q2 not only exceeded Q1 net growth, it doubled what we saw in Q2 2019. We ended Q2 with more than 14.8 million members. Exceeding 15 million members with our July national sales is truly remarkable for our brand, when you consider the state of our business in the second quarter of 2020. We had approximately 30% of our stores temporarily closed and negative net membership growth. In just 12 months, our business has rebounded. And importantly, our franchisees are very excited about the trend in the future. It's hard to predict whether these unseasonable joins will continue for the rest of the year, but we believe that people are recognizing the importance of taking better care of themselves.  The trends in our business have tested us. In addition to the strength of our joins in June, attrition and usage are normalizing, and in some cases, exceeding our 2019 level, both on a regional and age demographic basis. During June, we began to see certain key metrics in our business return to nearly pre-COVID levels. National usage trending up during the quarter, ending June at nearly 90% of 2019 levels. Usage in June for all demographics was nearly back to a typical pre-COVID month with only boomers trailing. However, it is still trending upward for that age group. Our last group of reopenings are returning to prepandemic performance levels faster than those that reopened back in 2020 as people begin to return to more normal activities.  While COVID had a temporary impact on our business, there are areas that the pandemic accelerated such as our digital strategy. When we shut down our stores last year, we quickly shifted to keeping our members engaged digitally with free workouts offered via the web and our mobile app. And as we announced last quarter, we strengthened our partnership with iFit to unlock future opportunities to further accelerate our digital content strategy. App adoption by our members is nearly 60%, having grown from 40% in Q4 2020. During Q3, we plan to roll out a Refer a Friend incentive program through the app.  During the second quarter, we hired a Chief Digital Officer, Sherrill Kaplan, to lead our bricks with clicks strategy. We believe that the future of the fitness industry is about providing people with a high-quality in-person experience, coupled with the ability to engage and service them outside our 4 walls. We're providing them with many other benefits as well as differentiated premium content to make it even easier to get to most of the membership. We believe that there may be an opportunity for us to aggregate other wellness categories into our app at a disruptive value, all geared towards casual first-timers. We continue to pilot PF+ in a limited number of stores to test price elasticity, included as a bundled offering with our Black Card membership. We expect to run this test for the balance of 2021 and look forward to sharing more on possible offerings in early 2022. In June, nearly 40% of PF+ subscribers joined our bricks-and-mortar locations, underscoring that consumers want a more omnichannel fitness experience.  I'm proud of the efforts our franchisees, headquarter staff and club staff who persevered during the pandemic to keep our systems strong. And I'm very excited to now have nearly all our stores reopened. There's a dislocation in the fitness industry, with 22% of the gyms permanently closed due to the financial impact from COVID through the second quarter. While at the same time, more Americans are realizing that fitness is essential to physical, mental and emotional well-being. After shutdowns, quarantine and isolation, they're seeking a sense of community.  We believe we are a place that fills that need with our affordable, nonintimidating workout environment that gets people moving and confident as they go on vacations again, head back to the office or see family and friends they haven't seen in a long time. Importantly, our franchisees believe this as well. As a result, we now expect to be at the high end of our 75 to 100 new store openings range for 2021, reflecting their growing confidence in the strength of our business and near-term growth prospects. Tom will get into more specifics on our outlook for the balance of the year in his remarks.  We also announced today that we signed an agreement to accelerate growth in Mexico with a joint venture made up of a prominent local retail services company and one of our largest U.S. developers. The agreement is for a minimum of 80 new stores over the next 5 years in addition to the 5 stores we currently have in Mexico. I'm extremely pleased that we have added 1.5 million members in the first 7 months of this year. With nearly 1/4 of all gyms closed due to COVID, I believe that the opportunity in front of us is significant. With so much potential given, the changing market dynamics and the tailwinds behind the health and wellness, the 4,000-plus long-term, domestic store opportunity looks better and better. I always knew that we would come out of the pandemic even stronger, but the pace is even faster than I expected. I always come back to the fact that we are a purpose-led brand on a mission to change people's lives much better, which is what the U.S. and the world needs more than ever.  I'll now turn the call over to Tom.
Thomas Fitzgerald: Thanks, Chris, and good afternoon, everyone. Before I get into the review of our financials, I want to touch on a couple of key topics, starting with store expansion. During the quarter, we opened 24 new stores, bringing our total count to 2,170. As Chris said, we now expect to be at the top end of the 75 to 100 new store range for the year, reflecting the growing confidence of our franchisees to accelerate their development plans. It also reflects the strengthening of their balance sheets. Several franchisee groups are taking advantage of the increased supply of real estate. As a reminder, we don't typically go after the real estate from gyms that have closed. We look for big box retailers that occupy a 20,000 square foot space.  We believe we're even more attractive to landlords given that no Planet Fitness locations permanently closed because of the pandemic, which strengthened our position as a tenant of choice. We're not necessarily seeing rents come down yet, but we are hearing from franchisees that landlords are sometimes offering more tenant improvement dollars. In general, we are seeing a more favorable real estate market and historically unseasonable membership trends, which have been the catalyst for some of our franchisees to accelerate their development pipelines. I would categorize franchisee sentiment as bullish as membership levels continue to climb.  Next, I want to elaborate on Chris' comments about the state of our business last year in the second quarter. As previously mentioned on last quarter's call, we are not reporting a Q2 system-wide same-store sales growth number due to the fact that the majority of our stores were not billing in the prior year period. We assume we will resume reporting system-wide same-store sales in the third quarter. As a reminder, our same-store sales results are a function of the change in membership trends over the trailing 12 months compared to the year ago period.  As of the end of Q2, we had 6 consecutive months of sequential net member growth, but our membership levels were still below prior year. Black Card penetration increased to 62.6%, up 191 basis points to last year, contributing to continued growth in average monthly rate.  Now I'll turn to our Q2 financial results. Total revenue increased $97 million or 241.1% to $137.3 million from $40.2 million in the prior year period. The increase was driven by revenue growth across all 3 segments. The increase in franchise segment revenue was primarily due to growth in royalties, NAF and franchise and other fees primarily attributable to COVID-related temporary store closures in Q2 last year. The increase in revenue in the corporate store segment was also primarily due to COVID-related temporary store closures as well as the impact of 7 new corporate stores opened compared to Q2 2020. Equipment segment revenue increases were driven by higher equipment sales to new and existing franchise-owned stores due in part to temporary store closures related to COVID last year.  Our cost of revenue, which primarily relates to the direct cost of equipment sales to new and existing franchise-owned stores, amounted to $18.5 million compared to $8.5 million a year ago. Store operation expenses, which relate to our corporate-owned store segment, were $28.4 million compared to $14.7 million in Q2 last year. The increase was primarily attributable to lower operating and payroll expenses last year with the COVID-related temporary closures, along with higher expenses with the new stores we opened in the last 12 months.  SG&A for the quarter was $21.8 million compared to $15.9 million a year ago. The increase was driven by higher incentive and stock-based compensation, travel expenses and expenses associated with our mobile app compared with the prior year period. National advertising fund expense was $13.5 million compared to $10.9 million in the prior year period.  Adjusted EBITDA was $55.6 million compared to a loss of $9.3 million in the prior year period. A reconciliation of adjusted EBITDA to GAAP net income or loss can be found in the earnings release. By segment, franchise adjusted EBITDA was $51.8 million. Corporate store adjusted EBITDA was $10.4 million, and equipment adjusted EBITDA was $5.6 million. Adjusted net income was $18.2 million and adjusted net income per diluted share was $0.21.  Now turning to the balance sheet. As of June 30, 2021, we had total cash of $527.4 million compared to $515.8 million on December 31, 2020. This was comprised of cash and cash equivalents of $469.1 million compared to $439.5 million and $58.2 million and $76.3 million of restricted cash, respectively, in each period. Total long-term debt, excluding financing cost, was $1.78 billion as of June 30, consisting of our 3 tranches of securitized debt and $75 million of variable funding notes.  Our securitized debt structure is covenant light. We have 2 maintenance covenants, a debt service coverage ratio and a total system-wide sales threshold. These are both tested quarterly, calculated on a trailing 12-month basis and reported on a roughly 2-month lag. In our most recent debt covenant reporting period of June 5, 2021, we had a 13% and an 81% cushion to the first triggering event for our debt service coverage ratio and system-wide sales covenant, respectively. We believe we have sufficient headroom for our 2 maintenance covenants, especially now with nearly all of our stores open.  Additionally, I'd like to point out that this was the final reporting period with Q2 2020 included in our trailing 12-month calculation. This was our toughest quarter financially last year. And as a result, we believe it was a trough from a DSCR standpoint.  Now to our outlook for the balance of 2021. With vaccines readily available across the nation, strong membership growth trends and just under 5 months remaining in this year, we have better insight into what we believe our performance will be across key metrics. However, I'd like to note that our current view for 2021 assumes there is no major resurgence of COVID that causes member disruptions, whether via shutdowns or more stringent mask mandates that result in a significant change in membership trends, particularly as the Delta variant is causing case counts to spike across the U.S.  We have already discussed that we expect to be at the high end of our 75 to 100 new store opening range. As a reminder, last quarter, we noted that we expect equipment replacement to be approximately 50% of our total equipment revenue this year. We continue to believe this will be the case.  With respect to our corporate store segment, it's important to note that our corporate clubs are primarily in markets that were most impacted by temporary shutdowns from COVID and were in the group of stores that were temporarily closed the longest, which as we've said is the biggest factor impacting a stores' recovery to pre-COVID levels. Additionally, the vast majority of our corporate stores are mature stores. Therefore, we expect lower revenue and profit for the balance of this year and into next year for our corporate store segment compared to 2019 levels. We still believe in the strategic importance and viability of our Corporate Store portfolio, it will just take a longer period of time for those stores to return to the previous financial performance levels.  Now let's turn to SG&A. There are 2 drivers for increased SG&A spend versus 2019. First, our investments into future growth engines for the business, including our bricks with click strategy, IT infrastructure and franchise marketing. For example, as Chris mentioned, on digital, we have a new Chief Digital Officer, who is leading our efforts for an omnichannel experience for our members. From a marketing perspective, we have invested to promote our app, support California store reopenings and participate in lobbying efforts for the fitness industry.  The second driver is compensation, including having additional leadership positions as well as typical compensation growth. So when you take all of this together, we believe that our full year revenue will be between $530 million and $540 million. We expect SG&A to be in the low $90 million range. We believe adjusted EBITDA will be between $200 million and $210 million. And we expect that adjusted earnings per share will be between $0.65 and $0.70.  Finally, our pace of recovery has been faster than we expected, and our membership growth is highly encouraging. As I mentioned earlier, our same-store sales results are a function of the change in membership levels over the trailing 12 months compared to the prior year period. We cycled the most significant member declines in Q3. We expect that our same-store sales will become positive given our expectation that Q3 membership growth and membership levels will exceed that of last year. However, I want to reiterate that this outlook assumes there is not another prolonged operational setback, whether through mask mandates, temporary shutdowns or other less tangible ways that COVID can affect the American psyche and in turn, our business. But we know that our business model is resilient. And while the near term is somewhat difficult to predict, we believe that we are well positioned financially and strategically to capitalize on the value-creating opportunities emerging as the country comes out of the pandemic.  And with that, I will turn it over to the operator for Q&A.
Operator: [Operator Instructions]. Your first question comes from the line of John Heinbockel from Guggenheim.
John Heinbockel: Chris, given what's happening with membership, what do you think about promotional activity that you're going to run between now and year-end? Is it -- are you more inclined to be more promotional because members would respond? Or do we -- can you be less because they're naturally coming back?
Christopher Rondeau: That's a good question. Yes. Right now, we have nothing outside of the norm from a marketing standpoint of scheduling. It looks pretty similar to last -- not last year, years in the past, so regular cadence. But what's really interesting is -- you kind of mentioned on your question is that what's more intriguing actually is the -- kind of the natural organic demand we're seeing on off-promo days. It's quite remarkable. Something I've -- we've never seen before. It's -- even off-promo days, the demand is just -- it's just there, regardless. So it's -- so we'll do a normal cadence of marketing, but the membership is extremely strong right now in all generations.
John Heinbockel: And maybe secondly, right, when you think about the Black Card pricing test, you're going about that pretty deliberately, I think, compared to the last 2 increases, right? Right? I think you tested it for a couple of months and then went with it. Is that because of COVID? Or is that because you're trying to figure out whether people will pay for the digital content and whether you want to include it in the Black Card pricing or do it separately?
Christopher Rondeau: I'd say a little bit of both. I mean it's been a pilot for that reason, so we can test whether it's -- is the $22.99 the right number? Is it more? Is it less? Is digital driving some acquisition, higher acquisition or not? Or at least maintaining the same Black Card percentage through the higher increase in rates? So a little bit of all that, John.  But I think we'll always have the PF+ digital separate and apart from the Black Card bundle, I think for a few reasons. I think one we've seen that people are doing PF+ and then migrating into bricks and mortar and about 40% of the nonbricks-and-mortar members who have subscribed to the PF+ have gone on to join bricks and mortar after. So it's definitely kind of their dipping the toe in the water and then they're converting to a bricks and mortar after the fact, which is encouraging. It's really a whole other marketing vehicle for us. But it also sets a bar of perceived value so that when you get the bundle, it looks like an even better -- a better deal when it's bundled because you see the off-the-street price. So I think we'll always have both.
Operator: Next question is from the line of Randy Konik from Jefferies.
Randal Konik: So I have a question -- one for Chris and one for Tom. I guess, Chris, in the press release, you talk about having confidence in meeting and possibly exceeding your long-term target of 4,000 locations in the United States. Can -- so can you elaborate a little bit more because I think you're getting more kind of bullish about the long-term unit potential, especially as your competitors are closing? So just more color there would be super helpful.  And I guess, Tom, when I look at the EBITDA dollar guidance at the high end for the year, it implies an EBITDA margin of about 39%, I believe. And your prior peak in EBITDA margin, I believe, was in 2017 at 43%. So I just want to get some color on how we should be thinking about a little bit more into the medium term around where the EBITDA margins should really sit for the business and to know if the elevated SG&A in 2021 will subside in growth rate in 2022, i.e., we should see some EBITDA margin expansion next year. Just curious on that.
Christopher Rondeau: Sure. Thanks, Randy. This is Chris. Yes, the 4,000 potential, you probably heard of us talk in the past, even pre-COVID where we were -- most of our new unit sales for franchise development were in existing territories that we had already sold, call it years ago. And we might have sold it for 10 stores in a county, and we know a lot more now than we did back then. And franchisees are coming to us and we thought it holds 10, and now it holds 14 based on what we know today. So we were always already thinking that the 4,000 might be on the lower side of what the potential is now coming out of COVID.  I think I -- we have quite a few things going on, on top of the 22% of the industry was shut down, which is amazing. Out of the 41,000 stores, I think 22% have shut down. And that does skew higher in the boutique arena as opposed to full-service gyms. It's about 14% of gyms have closed with about 27% of boutiques have closed, so it does skew higher boutiques. But nonetheless, this 22% of gyms are no longer in business. So you have that on top of -- I think what we're seeing here with the organic growth I mentioned is just -- it's just the demand, I think, coming out of COVID of people realizing -- and everything you see points to the fact through COVID that being overweight or out of shape or not taking care of your health is one of the contributing factors of hospitalization and unfortunate deaths. So I think people are really paying attention to their health and wellness more so coming out of this.  So I think the industry has a huge tailwind coming out of this probably for many years ahead. I think it's -- I think we're going to see something that probably the industry hasn't seen before. So I think to your question, I think there's no doubt with gyms closed down, the strength of our model, the fact that we're going after casual first-timers. And if 40% of our joins still today have not gone to a gym in their life, then that holds true too for the second quarter. So we're really getting people off the couch for the first time, and it's mostly people who need the most help.  And also, as we all know, in less fortunate neighborhoods, they're also more affected by COVID. And 25% of our gyms are in neighborhood that the government classified as low income. So we're definitely filling a need here. And I believe the 4,000 probably is going to light size. So I think once all the dust settles, it's possible we're going to have to study up on this to see where we think the potential is once the dust settles out of this.
Thomas Fitzgerald: And hey, Randy, on the P&L question, I think as we come through this with the different puts and takes by segment -- we talked about the Corporate Store segment being in the markets that were affected longer. So that certainly has an impact there. And also the franchise segment, our membership levels, while rebounding, are still -- have been rebounding more recently, where in 2019, they were kind of pretty strong right from the start. So it's a bit of a timing based on the subscription model. But we don't see anything kind of in the near term, longer term that structurally inhibits us from getting back to our 2019 EBITDA margin levels of $43 million. It is a little bit of kind of the depressed revenues in the near term and some of the changes across our 3 segments.  I think when you think about SG&A, though, we do -- as Chris mentioned, we have made some incremental investments both in terms of people, systems and marketing to support our app back to our bricks with clicks strategy. I think in the main, we run the business with a pretty frugal mindset. But where we think there's an opportunity to invest in, we're going to do that. So I think it's a balance of being frugal where we should and also being thoughtful about the investments we need to make to really power up what we see as a big opportunity.
Operator: Next question is from Oliver Chen from Cowen.
Oliver Chen: Chris and Tom, it sounded like the membership trends were running better than you expected given your prepared remarks. What drove that upside relative to your expectations? And then second, on the bricks and clicks growth strategy, what are you most excited about? Why was now the right time for a Chief Digital Officer? And how might this impact the models and membership and/or churn? Just what generally is on the road map?
Christopher Rondeau: Sure. Thanks, Oliver. I want to share with you. On the growth in membership, what's really driving this today and what we typically see after -- earlier, after the month of April, honestly, mature stores. In a mature store, we typically not grow at all pretty much the rest of the year after the winter growth months. And in a lot of cases, all of our mature stores have actually declined slightly throughout the rest of the year. So what we're seeing now, which is something we've never seen before, is that the mature stores are growing in a time of year that they typically don't, really.  So they add a lot of new members in the first quarter, call it, even through April. And then they'll either maintain or retract some over the rest of the year. But for the year, they're ahead. But they lose some throughout the rest of the year, we're not seeing that right now. We're actually seeing that even the mature stores is continuing to grow in months that they typically don't grow. So that's really what's driving that. So that organic demand in the sale periods are extremely strong, which is something they'll see -- I mean, in the month of June or July, to grow like that, it's just something we've never -- would have had. Usually, in this industry, we hold on for dear life in the summertime, honestly. And it's amazing to see something this time of the year.  I think with the bricks and clicks -- and it's really still in its infancy, strained stage here, but -- I think as many years to follow. But -- and I've said this in the previous calls, it's -- if you think about this industry, we open our doors and we turn the lights on and let somebody use the facility, we don't offer them anything, right? They pay us every month. We don't give many service outside the 4 walls. So I think in any way we can provide them some level of service and engagement outside our 4 walls as well as inside, but outside the 4 walls can only help with customer satisfaction and ultimately, only help with retention and stickiness.  So -- and that's why it's a great platform as it is now, but it's really just the beginning of a platform that's built to be able to add more and more to it. And now it's strictly just exercise but there's nutrition, I've always mentioned, and meditation. Is there self-help? Is there help for sleeping? It goes on and on with the platform. But even just the way people are engaging with us -- I mean, the way they're joining now is -- 65% to 70% of our joins are digitally, either through the website or through the app. In 2019, that number was 30%, 35%. So even just the way people are joining is much, much higher than we've seen in the years past by -- well, doubled.  So people are just -- the world has changed. And I think this is something that's going to stick around with us. So -- and now we're offering the upgrades in the app. And we're offering refer friends in the app, which have a nationwide promotion going with that where -- a formal way that a member can refer somebody through the app and get credit for that referral, and we reward them for that referral, which is something that never existed before until we had this app and launched this platform. So it's just the way, I think, for us to be able to engage our members and provide them more and get more. So it's -- it can only help, I think, with the satisfaction as the customer goes and only drive stickiness longer term.
Oliver Chen: And lastly, usage. How have usage trended? And what are your expectations there and what you're seeing nationally and/or regionally?
Christopher Rondeau: Yes. We ended June with about 90% of 2019 levels, so almost back to normal. Many of the generations are back to pre-COVID. The boomers are still lagging some but they're trending in the right direction now, which is great. So we're almost back to what we normally see. And usage is about the same, too. Yes, usage is about the same, too. About -- average members usage is about 6x per month.
Operator: Next is from the line of Joe Altobello from Raymond James.
Adam Kozek: This is actually Adam on for Joe. I know you mentioned that the guidance assumes, I guess, nothing unexpected in the form of like shutdowns or mass mandates, et cetera, all that being quite unpredictable and dynamic. That said, have you seen any impact on membership so far? And I know it's early from Delta in recent weeks, either the pace of new joins or cancels and they have -- maybe too recent to even be able to pick up on those trends, but have you guys seen anything on that regard?
Christopher Rondeau: Yes -- no, we haven't been watching it closely as we did see some of that reaction back -- if you remember, if you recall last summer, when some of the things were spiking in August and so we saw some of the market react to that. But we're not seeing that with the Delta virus nationally or regionally.
Adam Kozek: Okay. That's encouraging. And one more, if I could. I believe New York City posted a rule requiring a proof of vaccination to enter gyms. Do you think that prospect might slow membership or store growth in any way in the near term?
Christopher Rondeau: I mean it could. We haven't seen it yet, but it is -- definitely a little bit of a hurdle here for people to work out. But a good question is how long it goes on for you, but we haven't seen it affect things yet. Out of the entire portfolio, we only have about 95 clubs that have masks all the time and about 31 clubs that are masked while -- not while exercising but while walking around. So it's not as broad as you might think, especially in the Northeast is all you hear.
Adam Kozek: Got it. Congrats on the encouraging membership trends.
Christopher Rondeau: Thank you.
Operator: Next is from Jonathan Komp. Please also state your company name.
Jonathan Komp: It's Jon Komp from Baird. I want to follow up maybe a little bit of a bigger picture question, but as you look at the momentum and the membership you're seeing and the bullish town that you cited, how do you think about whether you're doing enough to stay ahead of some of your competition? I know you've cited some of the metrics for gyms that have closed, but there's other of your peers that are seeing similar trends. So maybe just -- do you think you're doing enough to stay ahead? And as you think about plans to stay ahead, how should you share those costs or those investments between Planet and your franchisees?
Christopher Rondeau: Yes, good question. We -- you may recall last -- tail end of last year, we actually put in some -- about $10 million of corporate marketing dollars just to reinforce the NAF and to kind of supercharge it to get it going. We don't see the need to do that just yet or right now. Not that we wouldn't. I definitely keep the optionality open there. But I don't see -- right now, with the way the membership trend is heading and how fast it's growing. And as you know, Jon, the NAF and the last spend, the national advertising fund, the local advertising is 9% of the membership dollars. So the faster that the membership increases, the quicker those dollars replenish and get larger. So right now, we see no reason to do that just yet.  And there's no doubt that our excitement about the membership growth is definitely shared with the franchisees. The amount of text messages I get and the details about people saying they couldn't believe what they're seeing in the month of July or June. So that's really what -- we've said this all along, that's really what the franchisees need to see to get -- replenish their balance sheets, but also feel confident enough that it's time to start moving here. It's time to start negotiating leases and get clubs open. So -- which -- hence, why we went to the top, high range of our 75 to 100, which as this holds true -- put the Delta virus aside of us for a minute because who knows what happens, and I don't feel that it will go crazy on us. But the longer that holds true, there's no reason why we shouldn't see some really good growth here, unit-wise in the next 2 years here now that franchisees are out looking at real estate.
Jonathan Komp: Yes, that's great. Maybe one follow-up then. As we think about trying to model out the equipment revenue in the years ahead, just thinking -- 2019, I think it was close to $250 million. Any broad stroke thoughts about how we should think about next year for that?
Thomas Fitzgerald: Yes, Jon, it's Tom. We're really not commenting on 2022 at this point, we'll do that on our year-end call. But I think once all these extensions have kind of run their course, we expect that sometime in 2022, we'll be back on kind of a normal rhythm, assuming there's no disruption with COVID. But sometime in 2022, back on a normal rhythm in terms of both store development and reequip cycles.
Operator: Next is from John Ivankoe from JPMorgan.
John Ivankoe: Maybe the increase if -- and/or the top end of the unit development range, to some extent, is the answer. But can you comment on how year 1 volumes are doing? I mean if you were to look at, for example, the stores that are open in the last 12 months, how they've been doing relative to previous years? And I'm especially interested on the 2021 openings, specifically how those have comped relative to the years past.
Thomas Fitzgerald: John, it's Tom. I'll start and maybe others will add. So I think in terms of if we want to clock back, the stores that opened last year were clearly soft to any historical norms. The stores that opened more in Q4 started to get closer to what we would normally expect. And the stores that we opened this year are above expectations when it comes to the first year -- first months in the first year of ramping. So very encouraging. And again, it's yet another kind of green signal that our franchisees are seeing that gets them very bullish.
John Ivankoe: And above expectations, I mean, would that mean that you're, for example, higher than your 2019 class? Or there's still some drag in the new unit volume?
Thomas Fitzgerald: Higher.
Operator: Next is from Simeon Siegel from BMO Capital Markets.
Simeon Siegel: Congrats on the ongoing progress. Chris, sorry if I missed it. I think you touched on it, but can you speak to the composition of the new members? Has it changed versus pre-COVID? I think you mentioned the 40% first-timers. But can you maybe speak to the percent coming from competitive closures or reactivations from your own COVID-lapsed customers? And then, Tom, can you guys gave the average royalty rate? I think you normally give that. So sorry if I missed that.
Christopher Rondeau: Yes. Our rejoins are still running as they were in the first quarter. About 30% of our joins are rejoins. Those members of us in the past and have -- are coming back. And that typically runs about 20%, so it's quite a bit higher than we've seen in the years past. About 3% of the joins are coming from closed competition today. And you're right, about 40% of first-timers come to us from the couches essentially. And the Gen Z population is definitely still joining at a rate that we haven't seen ever in the past, quite a bit elevated. The Gen X and millennials are about the same. Boomers are slightly behind.
Thomas Fitzgerald: And yes, I mean, the royalty rate for the quarter was 6.3% versus 6.4% last year, and that's really just mix of stores that were open and billing last year compared to this year. No fundamental structural change or anything.
Simeon Siegel: Perfect. And then any -- just any notable difference in economics for Mexico versus the U.S. as you roll that out?
Christopher Rondeau: No. Not really, no. The royalty rates and all that, the development of the 80 stores over 5 years, it's a good group out of Mexico and they partner with 1 of our largest here in U.S. franchisees, who has almost 100 locations. The -- you might have read the press release, but the group there has brought Forever 21, Old Navy as well to Mexico. So I think it will be a great partnership that has a lay of the land there.
Operator: Next question is from Peter Keith from Piper Sandler.
Peter Keith: My congratulations as well on the continued progress. A quick question, I guess, for the revenue guide that you've provided of $530 million to $540 million, what would you have roughly for a year-end member count to get to that range?
Thomas Fitzgerald: Peter, it's Tom. We actually don't provide guidance on the member outlook. And as you know, things are still kind of fluid. But in a typical year, we've seen very unseasonable trends in membership this year, as Chris alluded to. And on our last call, it was a couple of data points. Now it's more data points as we've gone through the quarter and into July. And typically, a store would lose some members in the back half of the year. So we try to put our best thinking in taking an atypical year versus what typically happens and stir all that together to come up with how we guided revenue, but unfortunately, we don't provide membership outlook.
Peter Keith: Okay. Fair enough. And my follow-up question is just on the pace of gym -- new gym openings. You've guided us to the high end of the range for 2021. I know you're not guiding for 2022, but I guess I'm interested in how the conversations with franchisees are evolving. I think in the past, you've talked about franchisees maybe wanted to get through that January selling season before making a go or no-go decisions on '22 openings. Is that changing based on this faster member recovery path that you're seeing? Could we see gyms open up sooner in '22 based on the comments you're getting?
Christopher Rondeau: Go ahead, Dorvin. Go ahead.
Dorvin Lively: Yes, Peter, I think the way we look at it is when things shut down back over the last year and when it became apparent this is going to last for a while, as we've mentioned on some previous calls, the franchisees really shut down all their development activities, furloughing even some of the real estate folks on the team because they really weren't -- they didn't know when they'd get back into kind of building new stores.  And as you -- as we progress throughout 2021, and quite frankly, coming into -- or 2020 and then coming into 2021, with all the concerns around what would happen after the holidays with respect to COVID-19 and then the vaccination rates were just starting, the vaccines were just becoming available. And it's -- obviously, it's still continuing to increase. Some states better than others in terms of the vaccination rates and people more likely to kind of get out and try to get about their daily lives. And quite frankly, as Chris said earlier, I think it's the reasons we're seeing some of the trends we're having today. So when you take all that into consideration, obviously, franchisees with their own portfolio of stores, they see what's going on with their business. And we obviously give them updates in terms of the system and the encouragement that not only we have a corporate, but they have in their own individual market or markets, they see these trends real time as well. And that's why, as Tom indicated in our guidance that we believe we'll be at the high end of that range that we had previously put out.  So franchisees are clearly out there starting to do their deals again. The issue, obviously, is the time frame. Beginning to end in kind of a normal time line circumstance, it's about 9 months from the time that you say, "Okay, I want to try to find a location in this particular market," and you start working with your real estate team internally, your commercial real estate brokers with our team, our corporate team that we have to try to put a number of sites out there for consideration and then start negotiating LOIs and how much tenant improvement allowances they'll give you, et cetera. It's not a 9-month process to ultimately get it open.  And so here we are now in the back half of the year, franchisees clearly are out in the markets now and starting to do deals, certainly starting to get LOIs going. At this point, we're clearly not back at that run rate, we were when this all kind of came down last year in March. And a lot of that is just, frankly, the time line to get there. I think you've heard us say before, and we certainly are saying it again, is that we've got a ton of confidence in the model and what has happened in terms of the recovery at this point. And it gives us a lot of confidence so we can get back into the kind of growth that we had before. It's just a matter of when and not if.  And so at this point, as Tom said, we're not commenting on 2022, but we can say that, clearly, the franchisees' willingness to get out there and start surfacing sites is certainly better than it was even 60, 90 days ago.
Operator: Next question is from Paul Golding from Macquarie.
Paul Golding: My first question is if you have any update on Australia and the rollout there given the prolonged snap lockdowns that we've seen over the last several weeks.
Thomas Fitzgerald: Yes. Sure. So I think we just have a few stores there, but we get an update from our franchisees. And it is sort of on again, off again, it's tough. But I think, overall, when they're open, the trends that they see are still encouraging them and they're forging ahead with their development plans for the future.
Paul Golding: So that 35-unit estimate over the next several years is still the target for now?
Thomas Fitzgerald: Yes.
Christopher Rondeau: Yes, yes. I think the -- just -- I think 4 of the 5 is closed right now. It should be open maybe by the end of the month, but it's a moving target.
Thomas Fitzgerald: Yes.
Paul Golding: Got it. And then on PF+, were there any other engagement stats you could give with respect to number of workouts in a particular month that are unique, might be doing just to get a sense of the uptake there? And any sense -- I guess, as a follow-on to Oliver's question around is this intended to be top of funnel? Do you see it evolving into more of a stand-alone maybe with its own branding and marketing. How should we think about that in the model?
Christopher Rondeau: Yes. Sure. Yes. So still a lot of testing to be had here. We haven't released any subscription numbers yet, but I think there's a couple of ways to look at it, too, is that there's also a lot of app holders that aren't even PF+ subscribers. So to your comment about being top of funnel, you're exactly right. So there's a lot of people that engage with the app as unpaying members that convert to bricks and mortar and sometimes convert to PF+ first. So it's kind of tough to funnel and it really is a whole other marketing vehicle for us.  But we have seen -- of the people that were subscribers to PF+ that were nonbricks-and-mortar members, is 40% now have converted to bricks and mortar. First quarter was 30% and the fourth quarter was 20%. So you'll see how people are engaging with PF+ and then becoming bricks-and-mortar members after the fact. And also, 70% of the members who have PF+ have also used bricks and mortar at the same time, so they're definitely engaged. And about 80% of the subscribers are actually current Planet Fitness members who have gone on to pay more for more. And the majority of those are Black Card members, which is -- hence, why we're doing the test with the bundle as well. See if we can get more price out of just all Black Card members, not just people who opt in for it.  So a lot of learnings to be had. But I think it's just how we look at the top of funnel. Out of the -- out of all the app holders, about 9 -- about 12 million downloads, 9 million of them members, the other 3 million are nonmembers or lapsed members that still have the app that were able to engage with or engaging with the app. So a lot more to be had there and be learned from, but we do have a lot of people that just have the app that not even paid subscribers that we can convert as well, so still a lot more engagement to be had and to learn from.
Operator: Next question is from Chris O'Cull from Stifel.
Christopher O'Cull: Tom, I apologize if I missed this, but how much of the equipment revenue this quarter was reequipped? And how should we think about the ramp in replacement equipment revenue for the balance of the year?
Thomas Fitzgerald: Yes. Hey, Chris, sure thing. So in Q2, it was 60% of revenue, brings the first half to about 45% of total equipment revenue. And so we said that for the full year, we're staying with what we said on the last call, which is the reequips would constitute about 50% of our full year equipment revenue.
Christopher O'Cull: Okay. That's helpful. And then is the net off-season growth you're seeing from either -- is it from higher gross sign-ups or lower cancellations or both? And I'm just curious if you've seen retention change at all from the May, June promos after the initial month compared to maybe similar type of promos that you ran prior to COVID.
Christopher Rondeau: Yes, it's both, actually. And we're just seeing -- it's almost like the year was upside down. Our May, June was 20x, June of 2019. And our May expiration on our sale was the highest net member growth day even outside of January this year. So definitely, demand is upside down and people are coming in higher now than they did in the first quarter. Certainly, last year, that's for sure.  So yes, I think, it's just people are out and about and resurging the business is just totally different than what we've ever seen before. So I think there's a lot of factors, gym closings, people paying more attention to their health and wellness. And I think it's -- time will tell after -- if anything happens crazy in the world with the Delta variant, but I think it could be a long-term trend that we see for the years ahead.
Operator: Last question is from Alex Perry from Bank of America.
Alexander Perry: Chris, I think in the prepared remarks, you made a comment that it's hard to see whether those unseasonal joins will continue. Maybe could you talk through the cancellation rate of new joins within the first few months versus normalized levels, especially with some of the no-commitment promos you guys have been running.
Christopher Rondeau: Yes. We haven't seen any change in any kind of retention or attrition or increased attrition without any kind of commitments or anything like that. So nothing there has changed. So that's all good news. And one of the things we've seen in a lot of consumer studies is the no-commitment messaging is almost more important than the actual enrollment fee discount as people just want to know that if they can get out, they can. And a lot of our members -- 40% have not gone to gym in their life, they're already thinking about how do I cancel this thing before I join. And it's unfortunate, but that's kind of the -- this industry has kind of been notoriously bad for cancellation policies, and we want to make it -- breaking all those barriers. So the good news is we haven't seen any increased attrition with those sort of offers.
Operator: That ends our question-and-answer session. I'll turn the call back over to the presenters for closing remarks.
Christopher Rondeau: Good. Thank you, operator. Thank you, everyone, for joining us today. It's -- as you can tell in our tone, we're -- we couldn't be more excited with the momentum the business has, something that I've never seen in my almost 30 years here. And excited as well that not only our staff here, but our franchisees feel the same sentiment. And I think this is what we are hoping that was going to happen, and quite frankly, higher than we expected it would be. We didn't know when it was going to come back that -- the psyche of the customer, they just want to get back and get back to health and fitness and now more than ever.  So all good news. And I look forward to bolster some of the franchisees and getting back to development growth and getting more people off the couch. So thank you all.
Operator: That concludes today's conference call. Thank you all for participating. You may now disconnect.